Operator: Welcome to the Greif Incorporated fourth quarter 2014 earnings call. At this time all participants are in a listen only mode. A brief question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Scott Griffin.
Scott Griffin : As a reminder, you may follow this presentation on the Greif web at Greif.com investor center under conference calls. On the call today in order of speaking are David Fischer, President and CEO; Pete Watson, COO; and Larry Hilsheimer, Executive Vice President and CFO. David Lloyd Vice President and Corporate Financial Controller is also present. We issues our 2014 fourth quarter earnings release after the market closed yesterday and it is posted on the website at www.Greif.com. We have prepared slides to supplement or comments which are posted in the investor’s section of our website under conference calls. We are now on Slide Two. The information provided during this morning’s call contains forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Please review our filings with the Security & Exchange Commission for more information regarding the factors that could cause actual results to differ materially from these projections or expectations. This presentation uses certain non-GAAP financial measures including those that exclude special items such as restructuring charges and acquisition related costs, net income attributed to Grief and EBITDA before and after special items. EBITDA defined as net income plus interest expense net plus income tax expense less equity earnings of unconsolidated subsidiaries net of tax plus depreciation, depletion and amortization expense. Management believes the non-GAAP measures provided better indication of operating performance and a more stable platform on which to compare the historical performance of the company than the most nearly equivalent GAAP data. All non-GAAP data in the presentation are indicated as footnotes. Tables showing the reconciliation between GAAP and non-GAAP measures are available at the end of this presentation in the fourth quarter 2014 earnings release. Unfortunately, due to time constraints there may be limited time for the question and answer portion of today’s call. We want to be responsive to all your questions and should you be unable to ask questions, please contact Bob Lentz at 614-439-6006. Before turning the call over to our CEO let me first acknowledge our press release which states that we’ll be filing our Form 10K late. Larry Hilsheimer our CFO will be addressing this matter in this remarks. I’ll now turn the call over to David Fischer.
David B. Fischer : Please turn to Slide Three. We anticipate the overall global economy to continue to reflect a modest recovery in our fiscal 2015 year with positive aspects of the improving economy in the United States being offset by the negative trends globally, particularly in Europe, Russia, and Latin America. Our fourth quarter 2014 results included specific actions to accelerate our financial performance. These actions are expected to lead to improved financial performance over the next eight quarters. However, more recently we have faced increased headwinds including negative currency translation, country specific currency devaluations, and initial effects from sharply lower oil prices affecting customer demand. The full impact of these factors has not yet been fully realized, and we are actively implementing counter measures to offset these headwinds. Early in 2014, we initiated a comprehensive portfolio review representing an important step towards further refinement of our strategy. During the second half of fiscal 2014, we implemented several actions based on that review which involved business divestments and further operational restructuring. More recently in Q4, we launched a companywide transformation initiative which is being pursued by the top 60 leaders in the company. This initiative has generated both aggressive goals and enthusiasm to optimize our portfolio, improve our financial performance, and reward shareholders. We plan to address details of this at our investor day next Wednesday. We will accelerate implementation of additional value creating opportunities throughout fiscal 2015, including a companywide SG&A reduction, further portfolio optimization, and increased operating efficiencies from expanded Greif business system initiatives. These actions are expected to result in a stronger and much more customer focused company that is well positioned to re-earn the right to grow by creating additional value in this ever changing global environment. Coupled with the relentless pursuit of customer value creation, we will aggressively reduce our cost structure and respond proactively to global macroeconomic headwinds and a potential deflationary environment. While some of these actions are business specific and facility specific, one of our key goals is to increase the company’s annual free cash flow above the average of the recent years. For fiscal 2014, our free cash flow was $179 million compared to $146 million the previous year and benefited from several asset sales. Our fiscal 2015 operating budget and longer-term strategic plans are focused on generating a higher level of free cash flow from operations going forward. I am now on Slide Four. Building and maintaining a safe work environment is the highest priority of our operations. This ongoing commitment to a safer work environment has also lead to a reduction in the medical case rate by 1.45 from 1.47 in the prior year. This marks the ninth consecutive year of improvement in our company’s medical case rate. Our commitment to safety is our most important obligation to our employees and secondarily benefits shareholders as an offset to higher and higher healthcare costs. Please turn to Slide Five. In addition to safety, we are also focused on other key priorities for 2014. We addressed capacity utilization issues in our flexible products and services business which resulted in the closure of the KSA fabric hub and a fresh look at our business given challenges we faced related to sluggish market conditions, a difficult labor model, and fluctuations in raw material pricing. The new management team is doing a good job of putting the business on the right path toward profitability following the Hadimkoy occupation and its related effects during fiscal 2014. The impact of the new FPS leadership team can be seen in the Q4 business results. Fourth quarter net sales on a constant currency basis, adjusting for the divestment of our multiwall business improved slightly compared to the same period a year ago. The segment’s SG&A expenses also decreased approximately $2 million in the fourth quarter versus the prior year reflecting initial progress related to the targeted initiatives to reduce SG&A in absolute dollar amounts and as a percent of net sales. We also incurred approximately $70 million of non-cash asset impairment charges during the fourth quarter, including $66.3 million in the flexible products segment. The original hub and spoke operating model has been discarded in favor or producing fabric and flexible products in key regions much closer to the customers we serve. Transitioning into 2015, our portfolio optimization initiative includes a growth agenda which rigorously prioritizes capital in projects and in businesses that offer the highest sustainable rate of return for the company. For example, the previously announced additions to our paper packaging business are underway and are expected to be completed over the next three quarters. At our Riverville Mill, installation of the shoe press, and other projects are expected to add an incremental 50,000 tons to our semi-chem container board capacity beginning this October. We are also installing a sixth corrugator in the south east United States in response to high customer demand. The outcome of these projects and the other initiatives is expected to increase this businesses’ integration levels, lead to further product differentiation, and reduce fixed costs per unit. The Greif business system has been an integral part of our company for more than a decade and remains an important element of our strategy going forward. It is a time tested and powerful self-help process that enables us to deliver increased value throughout our business portfolio. During the fourth quarter, Addison Kilibarda who has served in several key executive positions globally during the past decade was appointed to lead our strategy and transformation process. He will be working with all areas of our company to ensure delivery of a customer concentric services model and solutions while also helping to realize additional cost savings through operations. Restructuring took place in each of the regions during 2014 with particular emphasis on our rigid industrial packaging and flexible products businesses. In Europe, we combined drum reconditioning facilities with new drum facilities. In 2015, we will continue to implement plans to significantly increase cross business and cross geography integration levels to achieve the lowest manufacturing footprint cost structure possible. I am now on Slide Six. During 2015, we will continue to focus on improved safety performance throughout the company with a goal to reduce our medical case rate by 10% by the end of the fiscal year. During Q4 2014, we completed the aforementioned comprehensive review of the company’s business portfolio which included specific goals and action plans. Looking into 2015, the entire executive team will be focused on implementing our strategy in all segments with tailored activities for the four distinct categories of: divest; fix; protect; and grow which were discussed on last quarter’s call. A particular emphasis will be initially directed towards the transform and fix opportunities we have within our portfolio. The strategy includes cross cutting initiatives in areas such as SG&A reductions, working capital, supply chain, and the overall Greif business system. Additional details concerning these initiatives will be discussed at our investor day. We recently selected a team of internal Greif leaders representing all business segments, functions, and regions of the worlds to accelerate development and execution of our strategy. The construct of this team ensures both ownership in our strategy and its successful implementation. The team is actively pursuing the necessary steps to align their areas of responsibility to achieve our overall goals. They are excited about the opportunities to unlock value across the enterprise and I have challenged them to aggressively pursue opportunities in our strategy to eliminate assets and activities which do not materially add to the company’s performance. Greif has a long established heritage that includes profitable growth and more than seven consecutive decades of paying cash dividends. We have renewed our commitment to reward our shareholders. For the remainder of 2015, plans will be implemented in each of the four asset categories that I referenced a moment ago with specific expectations related to asset performance. We anticipate the divestment of additional non-core assets and plan to use a portion of the proceeds to reduce outstanding debt. Additional rooftop consolidation will continue to increase operating efficiencies. During 2015 we will also continue to develop new ways to leverage our land holdings. This includes fully executing our Canadian land holdings over the next 24 months. We will also actively pursue business opportunities to generate sources of revenue from the remaining land holdings in the south east United States. Please turn to Slide Seven. Sustainability remains an important strategic objective for many of our customers. Despite the market and economic challenges that exist today, our customers are committed to their sustainability goals and Greif is playing an important role in their long term success. Progress continues to be achieved in areas of energy, carbon, water, and waste. We are proud of our achievements to date. The accumulative economic benefit from energy conservation along since 2009 has now reached $45 million. We were pleased to recently receive our first independent assessment as part of the carbon disclosure projects annual climate change report. We significantly exceeded the scores of our industry group with an initial rating that is based primarily on efforts to achieve increases in energy efficiency and reductions in carbon emissions. We believe that good business and long term sustainability go hand-in-hand, as Mike Gasser our Chairman of the Board stated five years ago, sustainability initiatives must be good for business as well as the environment. This ongoing commitment to sustainability also includes product innovation. This past October, we received the 2014 IAIR Sustainability Award for the innovative material development in our DoubleGreen COEX 10 liter stackable jerry can which is one of the first multilayer 10 liter plastic jerry cans made from renewable sugar cane. Its rigid stackable design eliminates the need for carton boxes for transportation, improves inventory management costs, removes the necessity for printing a duplicate label, and optimizes the recycling process. DoubleGreen is also UN Certified now for international shipments. We look forward to 2015 as a transition year for Greif and improving our financial performance to better reward our shareholders. I will now turn the call over to Pete Watson, our Chief Operating Officer.
Peter G. Watson : I’m now on Slide Eight. Volumes and selling prices were flat year-over-year in the Americas region. Volumes in North America were higher in most substrates aided by the successful growth in targeted markets [indiscernible] year. We did experience a decline in plastic due to operational supply chain issues which are being resolved. Sales of intermediate bulk containers continue to grow in line with our strategic objectives. In Latin America our business performance demonstrated solid improvement year-over-year. Selling prices were favorable due to price mix management while our volumes showed declines in all substrates. This is a direct result of challenging market conditions attributed to political, economic, and currency issues. Brazil’s economy continues to struggle while Venezuela is experiencing hyperinflation. As David commented, we recently completed our strategic review and are taking actions to actively address the Americas’ footprint. During the fourth quarter we completed the sale of our water bottle business and the sale of a consumer plastic container business in Brazil. Please turn to Slide Nine. Currency impact and sluggish economic conditions created a drag on fourth quarter performance. The EMEA APAC region achieved positive fourth quarter volume comparisons for most substrates versus same period 2013 aided by the strong performance in our seasonal ag business relating to conical steel drums. Results in the Middle East and Africa were strong throughout the region. Steel drum and plastic drum volumes in Europe were favorable compared to a year ago principally due to a positive conical drum season. Lower selling prices due to declining raw material costs and negative foreign currency translation particularly relating to the Euro and Russian Ruble resulted in negative sales on a US dollar basis compared to the fourth quarter 2013. Please go to Slide 10. We achieved record net sales in our paper packaging segment for fiscal 2014 and ended the year with solid fourth quarter results. Slightly higher annual volume was offset by a modest reduction in selling prices compared to a year ago. Lower OCC costs were partially offset by higher transportation and increased utility costs. Consistent with the strategic goal to optimize our business portfolio, during the fourth quarter two box plants were sold to a strategic customer with long term supply agreements. Two previously announced growth capital projects are proceeding as planned and are expected to be operational in the fourth quarter of fiscal 2015. At our Virginia mill the modernization of our semi-chem medium machine is progressing on schedule. In line with our strategy we are adding a second corrugator in our Concord North Carolina sheet feeder. This will strengthen our network and position us to better serve our customers. We continue to focus on efforts on market differentiation and product innovation. The success of these efforts is reflected in the 39% year-over-year sales growth of these specialty products. Please turn to Slide 11. Overall fourth quarter sales volume for the segment were negative due to the divestment of the multiwall business at the beginning of the fourth quarter. However, we saw increased volume throughout the quarter in our four loop polywoven business. Key account volumes have stabilized and are now in line with fiscal 2013 volumes. The negative effects of Hadimkoy in the segment’s network continue to recede. The impact of this illegal occupation of 2014 segment results totaled $21 million which is $1 million below our previous estimate. As production capacity at this facility continues to increase, excessive backlogs have been stabilized and the lead time for standard products has normalized. The team continues to focus on the critical challenge we face in the business. Initiatives are underway to diversify our sales base outside of our traditional market in Europe. We have transferred production equipment from a recently closed KSA fabric hub to facilitate profitable growth and target markets. Positive results are being realized in the US and Mexico. The APAC region for flexible products continues to make positive progress. Customer focused initiatives, cost reduction plans, and portfolio enhancements are progressing well and are key components of our turnaround plans. Please turn to Slide 12. Market conditions for timberland in the south east region of the US remain stable in the fourth quarter. Non timber revenue was steady, highlighted by the sales of development properties in Canada and special use land tracts. If I could make one final comment, we all know the falling price of oil has decreased in excess of 50% in the last six months. The [indiscernible] net impact of this dramatic drop in oil prices on the company’s earnings is very difficult to forecast at this time. There are obvious benefits such as lower energy costs, lower transportation rates, and potentially higher consumption of goods with cost structures tied to oil and oil derivatives. Offsetting factors may include customer demand for certain packaging products tied to the oil and gas industry and potential shifts in product demand between geographic regions as a new norm is established. Greif is well positioned with a broad product line and geographic reach to take advantage of the potential changes resulting from lower oil prices. We will continue to monitor this situation closely. This concludes my remarks and I will now turn the call over to our CFO Larry Hilsheimer.
Larry Hilsheimer : As mentioned, we have delayed filing our Form 10K to permit our former auditors time to complete their testing and review of the revisions we have concluded upon, some of which were discovered late in the process of closing our records for fiscal 2014. Let me state however, that there’s nothing of which we are aware based on our discussions with our former audit firm that would lead us to believe there is risk of modification of the 2014 results that we released yesterday. The financial information included in our press release and in this presentation has been revised to reflect the correction of an error involving the elimination of inner company revenue in our paper packaging segment. This correction had the effect of reducing both revenue and cost of sales by approximately $139 million for 2014 and $133 million in 2013. The impact on operating profit and net income was not material. Unfortunately, these changes along with the complicated good will allocation impacts that we discussed in the third quarter, created a very complex maze for you to walk through. Added to that confusion is my drive to push us to what I believe will be a simpler way to provide guidance for 2015 and forward, that being adjusted EPS. However, that adjusted EPS is different than the guidance term used in our third quarter earnings release and call for where we expected to end this year. That transaction is complicated with the guidance provided then on the call of $1.98 to $2.08 per share including gains from the sale of select non-core assets but excluding timberland gains and potential future impairment charges. I apologize for the complexity this transition and the other matters cause for you. We’ve attempted to mitigate this by providing you more detail than has previously been provided about our results from operations, cash flows, etcetera. I will now move on to discuss our fourth quarter results. We continued our emphasis on working capital and expense management in the fourth quarter. That combined with divestitures of non-core businesses contributed to a significant increase in case generation and a substantial reduction in debt outstanding. Our fourth quarter operating profit was negatively impacted by $70 million of non-cash asset impairments and $2 million of foreign currency translation in fourth quarter of 2014 to fourth quarter 2013. Let me move to Slide 13. Net sales of $1 billion for the fourth quarter 2014 were 4% below fourth quarter 2013 primarily due to negative foreign currency translation of 2.5% and 1.4% lower related to business divestments in fiscal 2014. Consolidated volumes were flat compared to a year ago with increases in Europe and North America in rigid industrial packaging of approximately 5% and 3% respectively offset by a 12% decrease in Latin America and a 6% decrease in the flexible products and services segment. Consolidated selling prices for the fourth quarter 2014 were similar to the same period last year, a decrease of 0.2% driven primarily by decreases in raw material costs and related pass through contract provisions. The negative impact of foreign currency translation accelerated during the fourth quarter as a number of currencies, including the Euro, Argentinian Peso, Brazilian Real, Russian Ruble, South African Rand, and the Turkish Lira decreased compared to the US dollar. We reflected this negative impact in our fiscal 2015 budget when it was completed in October based on the general forward-looking consensus of economists at that time. However, as we all know, the US dollar has continued to strengthen at an accelerated rate since that time and that is particularly true related to those currencies key to us. We now anticipate that foreign currency translation will negatively affect our 2015 net sales and financial results more than we originally budgeted and our guidance reflects the additional impact based on exchange rates as of January 9, 2015. Further US dollar strengthening relative to those currencies would negatively impact the results relative to that guidance. We’ve depicted the impact of those currency changes in the slides that were posted for today’s presentation in the appendix. I would refer you to Slide 29 which reflects an impact that we originally budgeted of $0.33 per share and an additional impact of currency evaluation of $0.17 per share based on the January 9th numbers. For fiscal 2014, net sales increased slightly driven by higher selling prices. Foreign currency translation had negative impact of just over 1% for the year which was less than half of the fourth quarter percentage impact. Sales also decreased due to the divestments in North America and the EMEA regions of the rigid industrial packaging and paper packaging segments. The full year impact of foreign currency translation was negative 1.2% with the greatest impact in Latin America. Now turning to Slide 14. Fourth quarter gross profit decreased to $203 million for the fourth quarter 2014 from $226 million from the same period in 2013. We continue to experience competitive pricing pressures in Western Europe. Higher costs in the flexible product segment primarily due to the use of third party products related to the Hadimkoy occupation earlier in the fiscal year impacted both segment and consolidated gross profit. Additionally, the net effect of acquisitions and divestments resulted in lower gross profit for the fourth quarter of 2014. Gross profit margin was 19.4% for the fourth quarter of 2014 compared to 20.7% for the same period in 2013. Gross profit for fiscal 2014 decreased to $811 million from $832 million in the fourth quarter for 2013. The same factors that impacted the fourth quarter 2014 results contributed to the year-over-year decline. Gross profit margin decreased to 19.1% from 19.7% the prior year. I’m now on Slide 15. SG&A expense decreased $2 million to $114 million compared to the fourth quarter of 2013. Higher professional fees related to our change in independent accounting firms, tax consulting fees, and strategy initiatives which totaled approximately $5.3 million were more than offset by yearend bonus, benefit, and other accrual adjustments of $10 million. As part of our SG&A cost reduction initiatives we recently implemented a stringent hiring replacement approval process. SG&A expense for fiscal 2014 was $497 million compared to $477 million for fiscal 2013. Key items contributing to the year-over-year increase include expenses related to Hadimkoy, higher weather related costs, and additional professional expenses. The full year impact for 2016 run rate from SG&A cost savings initiatives being implemented in fiscal 2015 and fully realized in fiscal 2016 are forecasted to be approximately $35 million on that run rate basis. Let me now move to Slide 16. Fourth quarter 2014 operating profit was $37 million which is 62% below the same period in fiscal 2013. Non-cash impairment charges principally related to the flexible product segment were $43 million higher than in fourth quarter 2013. As previously noted, gross profit decreased $23 million from fourth quarter 2013 to 2014 including $6 million relating to divestments and $2 million attributable to foreign currency translation. There were $17 million of timberland gains in the fourth quarter 2013 and no gains in the fourth quarter 2014. Gains on divestments were $24 million for the fourth quarter of which partially offset the identified decreases I just covered. Operating profit for fiscal 2014 was $249 million compared to $342 million the prior year. Higher non-cash impairment charges were the key factor in the year-over-year difference. There were also higher SG&A expenses, lower gross profit and higher restructuring charges in fiscal 2014 than in fiscal 2013. I’m now on Slide 17. We have tried on this Slide to depict the complicated discussion we had in the third quarter earnings call in the diagram on the left side of the Slide. Income tax expense was $51 million for the fourth quarter of 2014 compared to $39 million for the same period in 2013. As discussed extensively on our third quarter 2014 conference call, the fourth quarter and fiscal 2014 income tax expense was impacted by non-deductible expenses from asset impairment charges and goodwill allocated to divestments which were $86 million and $36 million respectively. Fiscal 2014 income tax expense was $115 million versus $99 million for fiscal 2013. The effective tax rate for fiscal 2014 driven by these goodwill allocations and non-deductible impairments was 72.8% compared to 40.6% the prior year. I would just encourage you to look at the diagram on the left where we show that the constant income tax expense is reflected as a 72.8% rate on our reported income, if you then added back these non-deductible expenses from asset impairments and goodwill, it would take you to a more reasonable rate of 42.6%. Our forecast anticipates a decrease of approximately $32 million of income tax expense from a lower planned tax rate in fiscal 2015 of 31.5% as compared to fiscal 2014. Please turn to Slide 18. We continued to focus on free cash flow during the fourth quarter through our operating activities and initiatives related to implementation of our strategy. Net cash provided by operating activities increased to $145 million for the fourth quarter 2014 from $132 million the prior year. Proceeds from the sale of properties, plants, equipment, businesses, and other assets excluding timberland sales gain were $95 million compared to $4 million for the same period in 2013. Capital expenditures decreased $44 million for the fourth quarter from $54 million in 2013. Free cash flow excluding timberland sales gain increased to $204 million from $130 million in fiscal 2013. Net cash from operating activities was $262 million for fiscal 2014 compared to $250 million the prior year. Proceeds from the sale of PP&E were $133 million versus $16 million for fiscal 2013 and capital expenditures decreased to $138 million from $153 million in 2013. Let me now turn to Slide 19. The company anticipates the overall global economy to reflect a modest recovery in fiscal 2015 with positive aspects of the improving economy in the United States being offset by the negative trends in other regions particularly Europe and Latin America. We anticipate that foreign currency matters will continue to present challenges for the company as the strengthening of the United States dollar against other currencies will continue to impact the company’s revenues and net income. During the fourth quarter, the company sold several businesses and plans to continue accelerating restructuring plans and facility closures and pursue the sale of select non-core assets as part of our overall strategic transformation. We will have more to say about that at our investor day next week. We also plan to implement SG&A cost savings actions throughout 2015 and beyond. We will also provide more information about those actions on our investor day. Based on these factors, fiscal 2015 adjusted Class A earnings per share is expected to be in the range of $2.25 to $2.35 excluding gains and losses on the sales of the businesses, timberland and property, plant, and equipment, as well as acquisition related costs and restructuring and impairment charges. As previously stated, this guidance is based on projecting the impacts of currency translation for the entire year based on exchange rates in key countries as of January 9th. To the extent the US dollar strengthens further relative to the currencies of those key countries, our adjusted Class A earnings per share will be negatively impacted. That concludes my remarks. We will now be pleased to answer your questions.
Operator: [Operator Instructions] Your first question comes from Chris Manuel – Wells Fargo Securities.
Chris Manuel: Let me start with kind of some updates on how the business is performing thus far. You’re 75 days or so into your 90-day quarter, and a lot has happened since October. Can you give us a sense as to how the RIPS business maybe by region, has performed thus far to help us calibrate through the course of the year and maybe an update too as well on the paper side given as we look at box numbers they were really solid October/November, and we think that continued into December?
Larry Hilsheimer : Let me start and I’ll ask Pete specifically to add to what I say. Obviously, David could as well. In what we’ve seen in the first part of the year obviously, the currency matters have impacted us pretty dramatically, and as the Slide that I referenced earlier points out, we actually adjusted what we perceived this year’s results to be additionally because of that further devaluation, so that’s been probably the biggest tidal wave item for us. The second matter I would say is that Pete’s comments on the oil price impact, we’re still filtering through what we believe the full year impact will be on us, but it has clearly impacted demand from the energy sector, particularly the oil and gas sector in the IBC space. That caused us also to adjust what we had originally budgeted down from what we originally had in place for the North American RIPS business. Those are the two primary impacts that we’ve seen. We are just beginning to see some sort of positive impacts on transportation costs, but you also get pressure from your customers to pass those through so we’re trying to balance that and do the appropriate thing and try to create value for our shareholders which is balancing keeping our customers and also keeping some expense dollars. With respect to the paper business or any other comments, let me turn it over to Pete, he’s much closer to the paper business.
Chris Manuel: One point of clarification I could make, really kind of what I’m looking for too is a sense of you gave us numbers through the quarter how volumes were and we’ve seen quite a bit of changes. Is North America still up a couple of points? Is Europe still up or is it flat? There was a big down draft in volumes in Latin America, I’m kind of trying to get a sense of what’s changed with the trajectory through the first – you’re almost a quarter of the way through your fiscal year, kind of how we’re tracking if you will.
Larry Hilsheimer : Let me clarify your clarification. We didn’t provide any kind of volume information to this year yet. Obviously, we’re not through our first quarter, but Pete can speak to some trends of what’s going on relative to where we were in the fourth quarter information we shared.
Peter G. Watson : I can again comment on what we saw in Q4, and if you’d like I’ll go through the regions and give you some clarity on what we saw. In the RIPS side in North America we saw unit volume increase 2.8% predominately in steel fiber and IBCs. Latin America on same business structure, we had a reduction of 12.5%, that’s related predominately to Brazil and the steel business but I will tell you that while volumes were down, our selling prices were up and our profits were up substantially which is our main objective. If you move to EMEA, we actually had strong sales, 4.9% improvement in steel and plastic volumes, and part of that relates to the ag season and the conical steel drums had an excellent season. APAC’s volumes were flat in Q4. In paper packaging, our volumes were flat and it’s a tale of two stories there. Our mills were slightly down, our converting plants were up over 3%, and in the FPS segment, it shows our volumes are down. Predominately that relates to two things, the multiwall business that was divested and we’ve got our one and two loop bag businesses down. Our four loop polywoven business is up. I think the trends that we showed in Q4 are similar at this point.
Chris Manuel: My second question is when we look at kind of cash flow as folks in the street traditionally look at it and think up cash flow less cap ex, if I pull out some of the asset sales and different elements, it looks like 2013, as you presented it, was about $114 million. It looks like 2014 then is about $71 million, and if we look at it in a similar type way for 2015, it would appear to be something, if you take out a few million for some proceeds here, but something maybe $75 million to $110 million, something in that range. I guess my question really here is, as we think about the dividend that’s about $100 million, earlier in remarks you talked about, I think David mentioned, intending to continue to work through assets to award shareholders with a dividend. It would appear as though you’re close to covered for ’15, but how do you think about the balance of the business here as we move forward on a longer term basis? Is there a concern that we’re just essentially covering a dividend at this point? Is there an opportunity for this to get much better? I appreciate that the cap ex number in there is $150, and we’ve kind of thought of maintenance more in the $90 range, but could you give us a sense as to how you view this or think about what the cash flow opportunity for the business is over the coming years?
Larry Hilsheimer : At some time we’ll have to get together and reconcile you’re cash flow calculation with what we gave you in the document, the slide deck, and that kind of thing. Let me say first of all, I look at and we look at our dividend paying capacity as part of a broader capital structure of this business. We’ve talked about the fact that we look to having a debt level of two to 2.5 times and we are focused on getting into that level. But, I look at our ability to pay dividends not only tied to the cash generated but what is our overall capital capacity? Clearly, we’re not a highly levered company. We have very big support from our bankers and everything else, and we are focused on maintaining that capital capacity that then allows us to support the distribution of dividends to our shareholders at any time. That said, we are also focused on generating higher and higher levels of operating cash flow and that is a big focus of our total transformation effort including our focus on driving out additional SG&A costs. We’re going to cover more details about that in our investor conference next week in terms of some of the specific actions that we’ve identified and the plan that we have. Clearly, efforts around continuing to improve our working capital management, driving out additional SG&A costs, and getting improvement in our loss making operations and improving our operations in other aspects, all of those translate to bottom line cash flow generation. I would also say that 2015 is a year when we are making some significant capital investments particularly in the paper business which we believe are very, very warranted in that the returns on that investment are going to be significant for us. It is a year where maybe the capital expenditure while similar to what we have done historically is probably slightly higher than where we would be on a continuing basis, and that impacts a little bit the cash flow for next year. Hopefully that’s responsive to your question.
Chris Manuel: One last one and then I’ll turn it over. Can you help us with, I don’t know if I heard correctly, but what the book tax rate that you’re anticipating and the cash tax rate that you’re anticipating for 2014 and 2015 is? It looks like from a book perspective it was really effectively 43% for ’14. What are you anticipating as a book rate for ’15 and then a cash rate?
Larry Hilsheimer : As I said earlier, the book rate is 31.5%. I don’t have the cash tax rate available but we can follow up. One of the things that we want to do, we know our Q&A period today is pretty limited, we’re going to encourage you all to submit any other questions you don’t get to, to Bob Lentz and we’ll use the opportunity of having the investor day next week to get back to you on the questions that we’re unable to answer today. While we probably won’t have a dialog we’ll figure out a way to get you the answers so we’ll follow up on that one as well.
Operator: Your next question comes from George Staphos – Bank of America.
George Staphos: Just as a comment here, I would encourage you perhaps for subsequent calls to not limit the amount of time on a call. In this day and age where we need to have public discussion with management in a widely disseminated forum it’s better to have our Q&A live mic as opposed to passing back and forth commentary through questions and notes. So, just as an aside take that into consideration at your leisure. I guess my first question would be why is the book tax rate for fiscal ’15 at 31% relative to 43% in ’14? What’s causing the adjustment there? The second question I had, when I look at the cumulative FX effect that you’re guiding towards which is $0.50 a share, would it be possible to disaggregate that into a pretax amount and then by region and/or by product, because it seems like it is a fairly big number relatively to the level of profitability I think you’re generating in local currency. However, I know the EPS calculation for Grief is a little bit more complex, it would be helpful to have your pretax on that. So, those two questions to start.
Larry Hilsheimer : First, as to the tax rate, it has to do with the mix, also some prior period assessments that flowed through into the current year rates, but it’s primarily the mix of what is taxed in the US and what’s taxed internationally that balances to 31.5%.
George Staphos: On that point Larry, normally the US would be a higher tax region for you versus lower tax or vice versa?
Larry Hilsheimer : The US is generally a higher tax region.
George Staphos: So if the US seems like it’s doing better versus your other regions why would there be a mix effect?
Larry Hilsheimer : Don’t forget that if you look at the information on Slide 27, you have in that paper packaging going down, land management at sort of flat, but flexibles which is predominately international going up, and rigid which is mixed we actually are anticipating some of our foreign jurisdictions to go up and improve more than our North American business.
George Staphos: Then on the currency?
Larry Hilsheimer : The currency, we haven’t done the analysis in the fashion that you’ve asked it could be cut. We’ll take that back and see what we can address, but it’s kind of difficult when you try and break it down to that level but we’ll take a look at it.
George Staphos: Then my last question, you comment on Slide 29 that there’s a $0.23 reduction from core businesses in terms of the fiscal ’14 stepping off point to the fiscal ’15 guidance. What’s in that $0.23? What are the big movers and how much is lost profitability, what are the other sources? Provide as much granularity as you can.
Larry Hilsheimer : Again, we tried to tie this back into page 27 of showing some of the drop off. That is not a sort of net number, those are identifying some of the things that are driving it down. The paper packaging business going down and then also the drop in flexibles business. Although flexibles, if you take out – I’m sorry flexibles is actually net up if you take out the currency impact so it’s primarily driven to the decrease in paper packaging as the primary element. RIPS is also slightly down because we adjusted that element down for the IBCs.
George Staphos: If I’m interpreting Slide 27 correctly, I’ve got $308 million of operating profit versus $249 and yet you have core EPS down on Slide 29. Is that just the effect of all the one off effects in ’14?
Larry Hilsheimer : Yes, exactly. That’s exactly what it is.
Operator: Your next question comes from Steven Chercover – D.A. Davidson Companies.
Steven Chercover: I wanted to start with Slide 18 cash flow items. Not to sound aggressive but isn’t it a bit misleading to say that free cash flow was up from $130 to $204, because if you strip out the sales it’s more like it’s going from $126 to $109 year-over-year?
Larry Hilsheimer : That’s exactly why we provided the detail that we did subsequently in the slide deck. Different people get to their free cash flows in different ways among all of you guys. If you look at your reports that come out some of you include it and some of you don’t. We’ve historically included the proceeds from these sales in. I agree with you, I try to focus on what is the cash flow we’re generating from operations. Historically, the company has had relatively immaterial dispositions of businesses and it’s been included in operating cash flow. Going forward, we’ll provide the detail we have but that’s the reason it’s presented that way.
Steven Chercover: With cap ex higher in 2015 than normal, how do you feel about the dividend and its safety?
Larry Hilsheimer : Let me first of all reiterate it’s not necessarily higher than what we normally have. If you look back historically we’ve tended to spend in that sort of $150 million range. I say that our new normal might be somewhat lower than that, not dramatically and it’s all going to depend on what maintenance capital we need to send to make sure we continue to operate and then justifying the returns on projects that are proposed from our operators. Relative to our comfort level on our dividend payment again, I’d reiterate we look at our total overall capital structure and it’s not tied just to general operating cash flow operation in any one period or capital expenditures. It’s looking at the strength and ability of the company to manage its capital structure and debt loads along with operating cash flow to then make the appropriate returns to shareholders. So we are nowhere anywhere close to any of our covenant issues or limits on any of our debt instruments that would impair our ability to pay and we feel very comfortable about our cash flow generation going forward particularly after execution of our transformation efforts that we’ll be discussing more next week. So we have no concerns about the dividend payment capacity of this company.
Steven Chercover: If I could switch to Slide 27 please, could you explain to me how land management can generate an operating profit of $32 million on $24 million in revenue?
Larry Hilsheimer : Yes, this is a fairly typical question. I’ll let my corporate controller her explain how this works.
David Lloyd : It’s basically the gains on the timberland sales that are running through operating profit but not through revenue.
Steven Chercover: Then I had a question on the SG&A, the objective to cut it by a $35 million run rate by 2016. If I’m not mistaken a couple of years ago you had an objective to get it down to 8% which would have been 200 basis points from where we were? Why is that no longer obtainable? SG&A has gone up.
Larry Hilsheimer : Yes, so let me put it in a couple of different buckets in terms of my response. First, relative to the $35 million, in our third quarter call we talked about having identified specific actions of $25 million to $35 million, $15 million to $25 million of which was from FPS which then would only benefit us on the bottom line half because of our joint venture interest. What we’re now reflecting is we’ve identified some additional and in fact, the FPS piece has mitigated downward a little bit. But what we anticipate hitting our EBITDA is the $35 million on a run rate basis in 2016. Those are things that we’ve already specifically identified and have action plans to implement. We are also, as we’ll talk more about next week in our investor day, specifically focused on driving additional SG&A costs out of the organization. We’re relatively early in that process but are confident that we will be able to. I’m less confident that any of that will impact ’15. I am confident that more will impact ’16. The net benefit that I anticipate in ’15 of some of the actions that we have already identified, that original $35 million number that I spoke of, is roughly $15 million to $20 million is what we think will hit the bottom line. Now, what could mitigate some of that is if we end up incurring other costs to execute further SG&A savings that would impact ’16 and beyond. Sorry that’s a little bit complicated. Now, to your 8% question. I will tell you that I think that 8% is very aggressive for a business that is as global and decentralized as ours currently is. We have longer term objectives and we have a process in place to implement a global ERP system. Once we do that an objective at that level would be potentially more obtainable but I frankly just think the 8% was over shooting what was possible without that system fully in place along with our shared services effort that we are also ongoing at this point. Sorry for the long answer, but ultimately over time I think we could have a goal that’s more towards that 8% but in the next two to three years that’s not going to be achievable and that’s why we’ve set it at 10%.
Steven Chercover: With all due respect it’s getting harder and harder to get on your conference calls let alone attend the analyst day with the changes in the reporting date or the limited advanced notice of these events so I do hope going forward one of your objectives is to stabilize this whole reporting process so we have a date and stick to it.
Larry Hilsheimer : We acknowledge that as an issue. I would just say I’ve been here eight months and the person next to me, the financial controller, has been here nine and we’re very focused on doing that. Going through an auditor change this year added a lot of complexity to the process as you coordinate through items and issues come up. I apologize for the inconvenience, we recognize it and its certainly an objective of ours not to have that, not only for you guys but also for our teams that worked on Christmas Day and New Year’s Day and still had to work through these things so there are multiple reasons we have that objective.
Operator: Your next question comes from Justin Bergner – Gabelli & Company.
Justin Bergner: A couple of questions just clarifying questions here, in the opening sort of line of your press release you say, “That excluding the effect of acquisitions, dispositions, and currency fluctuations revenue was flat.” Does that mean then that the organic volume was flat to slightly up in the quarter?
Larry Hilsheimer : Yes. I think if you go back to Pete’s comments that would come through, but yes is the answer.
Justin Bergner: Then switching to sort of the price component obviously there was a big deceleration in the price driver in your business. Is there any way to give us a sense of how much of that deceleration was sort of accompanied by raw material declines or was it all sort of negatively impacting the margin performance?
Peter G. Watson : The predominate amount of that reduction in price has to do with the declining raw material cost around the world. More severe in certain regions than others, but that’s the predominate driver.
Justin Bergner: Then switching to just some of the nuances of the earnings guidance, how do I understand the launching off earnings number of $223 this year earlier in the presentation versus the $249 on Slide 29? I guess they’re both adjusted EPS numbers for ’14.
Larry Hilsheimer : What we were attempting to do on Slide 29 was to address what I expected that most of you would do which is to go back and adjusted out of ’14 the items that were sort of one time things like the weather impact we had, Hadimkoy, some of the impairments, gain transactions to say, “Okay, what’s our starting point?” That gets you to that $249 where you would have been just based on those elements and then walked across to say, “Okay, where are we to this year’s earnings and what are the impacts dragging us down?” So, those are the elements and you can see obviously, that the currency impacts are a major impact. One of the things that we didn’t talk about in detail about PPS is putting in this shoe press is going to take an extended shut down period for that operation which is contributing to the decrease in profit generation in that business and so that’s a contributor to this downward element on the core business operations as well as the weakness that we talked about in some of the other operations. So, that was the reason we presented it in that fashion.
Justin Bergner: But how does the $249 differ from the $223, they’re both referred to as adjusted EPS in 2014?
Larry Hilsheimer : From a GAAP accounting standpoint anything that we have that is not a GAAP number we have to call adjusted effectively so that’s just an element on the bridge to what is our adjusted guidance element for this year.
Justin Bergner: But the $2.23 versus the $2.49 mainly a reflection of the $2.23 is post the divestments and the $2.49 is prior the divestments? Is that the major difference?
Larry Hilsheimer : I’m sorry, where are you talking about $2.23?
Justin Bergner: On Slide 19.
Larry Hilsheimer : Okay, I was misunderstanding your question I thought you were talking about the $2.49. If you’ll see on Slide 29 the $1.56, what’s happening is that the reconciliation on page 19 is to cover the items that were – let me not misstate this. The additional items on page 29 that are not on page 19 are the impacts of Hadimkoy and the impacts of weather. They were items that were one timers that are not necessarily gain transactions or just restructuring impairment items. So that non-recurring items there, the $0.26 obviously, if you take $2.49 and back out the $0.26 you’re at $2.23. I’m sorry I didn’t understand your question correctly the first time.
Justin Bergner: I’m sorry to be on the phone for a while but just one last question on the tax rate. Why does the tax rate give you so much of an incremental boast to earnings if it’s going from 43% to 31.5% on an adjusted basis, or is that not the right comparison tax rate for the purposes of the [indiscernible] on Slide 29?
Larry Hilsheimer : The tax rate for this year is like 70%.
Justin Bergner: On the adjusted basis as well the tax rate this year is 70%?
Larry Hilsheimer : No, I’m sorry if you added back in all the impairments and those kinds of things then you would be at a lower tax rate. So the adjustment of 55 is the pick up on that rate change.
Justin Bergner: That’s 31% versus 73%, that pick up?
Larry Hilsheimer : Yes, because we did not tax effect the $0.98 add back, correct.
Operator: Your next question comes from Adam Josephson – Keybanc Capital Markets.
Adam Josephson: Just a quick question, sorry to keep asking number questions here, but you talked about $2.01 for fiscal ’14 adjusted EPS in the earnings release and I thought the guidance of $2.25 to $2.35 compared to that $2.01 but I guess that’s not the case, the $2.49 is the appropriate comparison not the $2.01 or the $2.23?
Larry Hilsheimer : Well the $2.01 is a presentation tied back to the guidance that we gave at the third quarter, and this is what I commented on at the beginning of my scripted comments was my apology for the confusion related to the transition to giving adjusted guidance going forward. But, if you recall at the third quarter call after we adjusted all of our guidance because of the impacts of Turkey and everything else, what I said at that point was with the close of the year we expected that our adjusted earnings per share for the 2014 year adjusted to also not include any incremental impairments and excluding the timberland gains would be in the range of $1.98 to $2.08 so that’s what this ties to.
Adam Josephson: Okay. Just one other classification, you have operating profit going from $2.49 to $3.08 on Slide 27 and then on Slide 31 you have EBITDA going from $4.62 to mid-point of $4.30 so you have EBIT going up by 60, EBITDA going down by call it 30, can you just help me understand what – and by my definition pre cash flow defined as operating cash minus cap ex was $127 in fiscal ’14 and I have that going down to 93 at the midpoint in fiscal ’15 so how do you have EBIT or operating profit going up by 60, EBITDA coming down by 30, free cash coming down by call it 30 if my numbers are squaring with yours?
Larry Hilsheimer : The difference is a lot of the onetime impacts of the impairments and the goodwill allocations on sales and things that are changing – is the difference between those two. Because of the questions on the EBITDA what I’m going to do is having us prepare a bridge that’s similar to the one that we have for operating profit and just we’ll post it to the site and also post it relay it to next week’s investor day just so that you can see the detailed waterfall walk. I think that will help everybody.
Adam Josephson: Just one broader question just about your forecast for ’15, you’re expecting modest improvement this year but when we look at commodity prices tanking, interest rates falling, inflation falling, those all seem to be pointing to deteriorating global economic conditions not improving global economic conditions so I guess why are you expecting even modest improvement in fiscal ’15 just given those factors?
Larry Hilsheimer : Well, our comment was that we expect on sort of a global mix basis a modest improvement in the economy. Obviously, if you look at page 29, we’re not anticipating modest improvements in our business, that’s why we’re in the middle of this transformation effort, we are retooling so that we drive improvement. Obviously, currency and now combined with the impact of the extended shut down for the installation of the shoe press, but I already mentioned that we already dragged down our original budget somewhat because of the drop in demand on IBCs that we’re already seeing this year so that modest recovery wasn’t translating to it’s going to benefit us, I think that’s more of just a statement of what we see the sort of global economy with the US doing really well and the other places not.
Adam Josephson: Just one clarification, on the core business down $0.23 how much of that is the installation of the shoe press?
Larry Hilsheimer : If you look back on page 27, we’re reflecting that the paper business is down $14 million. If you look at page 29 and you look above, core business down $13.8, look down below it’s 23.
Adam Josephson: So you’re essentially flat ex the shoe press?
Larry Hilsheimer : The shoe press isn’t everything on PPS, there’s also some margin pressure on pricing. Pete, do you know the components, I don’t?
Peter G. Watson : Yes, two things it relates to the extended downtime at Riverville as Larry indicated and then we have forecasted slightly lower margins in our mill system as it relates to two things one, the publicized $10 a ton reduction in medium in July and as you know, a predominate amount of our mix is medium as compared to other producers of container board. Secondly, how we forecasted input costs. Those two factors have given us slightly lower margins in our mill business compared to this year.
Operator: Your next question comes from Ghansham Panjabi – Robert W. Baird & Co.
Ghansham Panjabi: Just in terms of the press release you put out highlighting that the 10K will be delayed and the impact on paper packaging of $130 million to $140 million in sales, can you just give us some more clarity on that? I guess I’m asking because on Slide 27 the net sales for paper packaging we’re assuming a little bit of an increase 015 versus 014?
Larry Hilsheimer : I’ll let David Lloyd give a little bit more color there, but I think you said you thought you read that it was going to increase, it’s actually decreasing. It’s eliminating an inner company sale, but David maybe you can talk to this.
David B. Fischer : Yes. That adjustment has actually been reflected for all periods so the comparable period in the prior year also had a reduction in revenue for that intercompany transaction so what you’re seeing in there is on a same basis.
Ghansham Panjabi: Why is it so significant?
David Lloyd : It relates to a component of that business that is where you trade paper and ultimately the team thought that they had been guided to record things in a certain way. One of the things, when you go through a process of making sure that you feel comfortable all your controls are in place and you have new people looking at it, things get discovered. We came across this, it turned out that an inner company transaction was not being eliminated in consolidation. We ran it by both of our sets of auditors and they both said, “Yes, that should be eliminated.” So the net profit thing on it is very immaterial, virtually diminuous so that’s why you see basically same number coming out of sales and cost of sales. That’s what that’s about.
Ghansham Panjabi: Then just turning to the business, there have been very few questions on the actual business, but the pricing pressure you refer to in Western Europe we’ve heard this for a few quarters now, is it any different than what you’ve been seeing the last few quarters? Also, as you kind of characterize the competition in that region is it competition from the larger players or smaller ones?
David B. Fischer : It’s basically competition from both the large and the small. The lingering effects of the downturn of economic activity in Europe were so significant that the excess volume from our demand on our business and the volume of capacity available to big buyers was leveraged by those big buyers very effectively. We are, as part of this transformation process, taking some very specific steps to reduce capacity in that area to make our business more healthy. That’s the only thing we can control. So I would say it’s the ongoing effect of that. I would say the weakening recent months of Western Europe and then the obvious impact that the declining Ruble and declining oil prices are having on the Russian economy which is a big part of our business over there, is also let’s say producing a slightly more competitive environment than what we have been experiencing beforehand so that I would say is the new issue I think, affecting the west and east European marketplace.
Operator: Your next question comes from Walter Liptak – Global Hunter Securities.
Walter Liptak: I apologize for this, I got onto the call late and I’m sure you went through this already, but for 2015 what’s your forecast for depreciation, amortization, cap ex, interest expense?
Larry Hilsheimer : A lot of that is on the page 31 of the deck. Interest expense is basically down a million or so.
Operator: Your next question comes from Kaytan Montoro [ph] – BMO Capital.
Kaytan Montoro [ph]: A quick question on flexibles packaging, can you talk about what drove the pretty substantial increment both quarter-over-quarter and year-over-year in packaging?
Larry Hilsheimer : You’re talking on an adjusted basis?
Kaytan Montoro [ph]: Yes, that’s right on an adjusted basis.
Larry Hilsheimer : Pete, do you want to talk a little bit about the polywoven and then there’s another element in there which is the gain on the sale of our multiwall business.
Peter G. Watson : If you look at overall our flexible products business we’ve had a lot of stress coming out of Turkey with the occupation of Hadimkoy and trying to build back our capabilities in addition to some of the currency challenges we have in Europe and Turkey. . What I’ll tell you is we’re making a lot of progress in regard to our improvement plans there. We’re conducting a strategic review currently that will be completed at the end of March. The key issues we’re facing really now is what the size of our manufacturing footprint should be and how that cost structure is impacted in both our manufacturing costs and our SG&A costs. We’re taking quite a bit of actions on doing that. I think the positive notes is we’ve stabilized our ability to serve our customers. We’re starting to see certain segments really positive factors with our customers ordering more and our ability to serve our customers in the fashion that we had in the past. We’ll have a little better clarity on the continued improvement of that performance of our capabilities as we go through the next couple of months.
Larry Hilsheimer : Just to add a little bit to that, the driver of why we ended up taking an impairment in this quarter was a significant change in the labor environment in Turkey along with the significant downturn in currency, and the way that some of our raw material contract obligations are established in the markets we sell into. Those factors caused us to have to relook at that, which we would have been doing it anyway, but those factors led to us taking the impairment that we took of the goodwill of that business. It also caused us to need to take a dramatic step of really looking at what that business is going to be going forward. We embarked on this strategic review of the business to determine what is our path forward to a business that meets the profitability objectives that will be suitable for our shareholders and we’ll talk a little bit more about that next week at our investor day, but as Pete said, the strategic planning effort will extend into near the end of March at which time we’ll have a lot more clarity. To anticipate a follow on question which I think is obvious is what does that mean to the guidance and discussion that we previously had about getting to 10% SG&A and 12% margins in that business, that is at this point because of those changes in labor markets and because of the significant impacts of currency, is not something that we continue to believe is possible coming out of ’15 and is the purpose of this entire effort to really assess what is the way to have that business going forward, or alternatively, which is not our current plan, but if you couldn’t figure out a way would you be exiting it.
Kaytan Montoro [ph]: Just coming back on the last bit that you spoke, you had recently talked about $500 million of revenue and 12% EBIT margin so what you’re saying now is that 12% EBIT margin in the near term is not possible given some of the headwinds that you talked about?
Larry Hilsheimer : Well, that’s still our objective to get there. We don’t believe that’s achievable in a run rate basis in fiscal ’16 at a $500 million revenue level. The $500 million revenue had not yet taken out the multiwall revenue which was part of that overall business which we subsequently disposed of, but that’s where we’re at at this point.
Kaytan Montoro [ph]: Just very quickly, the $14.4 million adjusted EBITDA in the flexible packaging does that include any gain on sale of the multiwall business or is there anything in that number which makes it look not [indiscernible] run rate kind of number?
A - Larry Hilsheimer : I’ll have to pull that out.
Kaytan Montoro [ph]: I’m looking at page 18 of your press release and you have adjusted EBITDA for flexible packaging of $14.4 million and last year Q4 it was $1 million so I’m just trying to understand does this number include any gain or onetime benefit?
Larry Hilsheimer : Yes, that number includes the gain on the sale of multiwall.
Kaytan Montoro [ph]: That was $6 million?
Larry Hilsheimer : No, that was $18 million.
Operator: Your next question comes from Chris Manuel – Wells Fargo Securities.
Chris Manuel: Just two quick ones. David, from the perspective of if I just heard from previous response, you were in the process of doing a global review of the business breaking it into I think 40 some odd value cells etcetera and deciding on a go forward basis what would stay, what would go, and kind of reshaping the company and I believe on the last quarter you told us that that process was to be completed in December. It sounds like now maybe that’s pushed out to March? Could you maybe give us a sense as to why things were pushed out, if in fact I’m interpreting that correctly number one, and then number two will you be prepared to kind of give us a look at that next week as to what the go forward Greif business might look like, what’s there and what’s not, and help us put some of the pieces together?
David B. Fischer : Previously we always anticipated having what we call our quadrant analysis and our strategy refresh completed in the calendar 2014. For all intense and purposes it has been completed and we are acting upon it. Now there’s always, as you might guess, with an analysis of all 63 value centers that we have included in that strategy refresh refinement work that is ongoing and takes a bit of time to follow on to tie a bow around the entire thing. Then even when you do that, strategy is never static it always moves I mean, look at what’s happened more recently with the currency decline so dramatic around the world causing us to rethink some of our findings earlier in that process and that’s exactly what we had just kind of talked about with FPS. So as far as we’re concerned we have the body of work completed. We are taking the actions to implement the necessary steps to improve our performance with those 60 leaders around the company. As we speak the have been chartered and are off formulating their own plans within their value cells. That, let’s say description of that output and plans will be discussed at a certain level next week at our investors’ presentation. We intend to give you a little bit more clarity on how the business profile looks in terms of those quadrants and what we’re doing about those quadrants to move the businesses all to a more acceptable performance range. I will tell you that I think you will be surprised that some of our businesses, including even in FPS are more attractive than you might see on the surface because of all the noise we’ve had in the last year and that we have plenty of opportunity to polish those good businesses into better businesses while we’re also fixing and discarding selective assets that we deem underperforming or perpetually in bad markets. I think you’ll be encouraged by what we have to say next week.
Chris Manuel: My last question really was and I’ll allow you guys to answer this next week at your analyst day, but I guess where we’re looking at the $130 million of the proceeds you realized from divestitures, and I’m looking at Slide 28 as well, the analysis, if maybe next week you could give us a sense as to – I think those were the representative of what actually happened 4/20/14 with respect to those divestitures but if you could kind of give us a sense of what the annualized components of those, whether it be from the revenue side, from the up profit or EBITDA side so that we can, as we move forward for 2015, understand what the basis is that we start from that would be very helpful.
Larry Hilsheimer : Because most of the transactions happened very late in the year, you’re not going to get a very significantly different answer because the multiwall business closed in the beginning of September and a lot of the other transactions that are in here actually closed on October 31st. The exceptions to that would be Halsteren which happened in June. So yes, we can supplement it but it’s not going to be much different. Thanks everybody. We’ll look forward to seeing you all next week and I’ll turn it over to David.
A - David B. Fischer : Thank you all for your time and the good questions for today, we appreciate it. We are aggressively implementing our strategy to accelerate value creation. We’re pleased with the increase in cash flow and debt reduction in the fourth quarter of 2014 coupled with actions that strengthen our financial flexibility and long term performance. Our focus is clearly in fiscal 2015 will be implementing our strategy throughout the company to reward our shareholders for owning our stock. Thank you very much.
Scott Griffin : As previously mentioned by David and Larry, we’re hosting an investor day on Wednesday, January 21, 2015 from 9AM to 12 Noon Eastern Time. This event will provide investors the opportunity to learn more about Greif’s strategy including question and answers with members of the executive team present in this room and also key business leaders. You will have both the option to participate in person or virtually via a conference link. Please visit Greif.com in the investor section to learn more about this conference. The replay of this conference call will be available later today on our website at Greif.com. We appreciate your continued interest and participation in this conference call. Thank you and have a good day.
Operator: Ladies and gentlemen this concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.